Operator: Good day, and welcome to the HOCHTIEF 2020 Results Presentation Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Mike Pinkney. Please go ahead, sir.
Michael Pinkney: Hi, everyone, and thank you for joining the HOCHTIEF 2020 results call. I'm Mike Pinkney, Head of Corporate Strategy, and I'm here with our Chief Executive, Marcelino Fernández; our CFO, Peter Sassenfeld; and our Head of Capital Markets, Tobias Loskamp, along with several other colleagues from the senior management team of HOCHTIEF. We look forward to addressing your questions. But to start off with our CEO, who's going to run us through the key aspects of the numbers. Marcelino, all yours.
Marcelino Fernández: Thank you, Mike and the team. Good afternoon to everyone, and thanks for joining us. In a challenging year, HOCHTIEF has delivered resilient performance, notwithstanding the impact of COVID-19. The group achieved a nominal net profit of €427 million in 2020, net cash from operating activities of €1.1 billion and finished the year with an order book of close to €46 billion.  Key highlights for 2020. Operational net profit for the year was €477 million. The year-on-year comparison was, of course, affected by the economic impact of COVID and the associated mobility restrictions imposed by government. This had a particularly significant effect on profit at Abertis, where the 20% stake contribution to our profit swung from a positive €122 million in '19 to a loss of €17 million in 2020.  Adjusting for this €139 million year-on-year reduction, HOCHTIEF's operational net profit pre-Abertis was just 9.6% lower, reflecting the resilience of the group's operating divisions. This is also illustrated by our €23.7 billion of sales, excluding the Gorgon noncash accounting impact, which were only 6% lower year-on-year on an FX-adjusted basis.  Margins also held up well, virtually unchanged in terms of EBITDA and EBIT. Light variations at the PBT level are driven partly by the mix effect due to a higher proportion of group profits coming from Americas.  In relation to this, I would highlight that this division accounted for close to 50% of our operational net profit in 2020. HOCHTIEF generated net cash from operating activities of €1.1 billion, supported by the seasonally strong fourth quarter performance, which accounted for over 80% of the 12-months figures.  We ended 2020 with a net cash position of €618 million and a strong liquidity position. Adjusting for nonoperating effects and shareholder remuneration, HOCHTIEF would have a net cash position of €1.6 billion compared with €1.5 billion a year ago.  The group's order book remained robust at €46 billion, stable during the quarter and also year-on-year when adjusted for FX movements. And this is complemented by the identified project pipeline of over €570 billion.  Moving to the cash flow detail on Slide 5, I would highlight the following. You will see that the fourth quarter performance was very resilient with €890 million of operating net cash generated, pre-factoring, within around 10% of the comparable 2019 level. For the 12 months, we can also observe a solid working capital performance, notwithstanding the effects of the pandemic. We reduced our net capital expenditure by nearly €150 million year-on-year to €371 million. As a consequence, HOCHTIEF delivered underlying free cash flow from operations of €727 million in 2020. And in Q4, the €790 million generated was almost back at 2019 levels. So the overall picture is one of the resilience in our cash generation and reflects our key objective of achieving cash-backed profits.  Let's look at the balance sheet. As I mentioned earlier, HOCHTIEF ended 2020 with over €600 million of net cash. Looking at the valuation of the last 12 months, I would mention the high level of shareholder remuneration. €406 million paid out as dividends to HOCHTIEF shareholders; share buybacks at HOCHTIEF and CIMIC, totaling €339 million; and in addition, €104 million was invested to increase our CIMIC stake, now at 78.6%.  Furthermore, we have had several significant nonoperating effects. €1.26 billion of cash proceeds from the divestment of 50% of Thiess; €844 million of cash out related to BICC; €355 million reduction in factoring, which now stands at just over €1 billion; and a negative €220 million impact from FX variations. If we adjust for these FX, which are nonoperating in nature, HOCHTIEF would show a net cash position of €1.6 billion, as illustrated in the chart, compared with €1.5 billion at December 2019.  In terms of liquidity, the group's position remains strong at €5.4 billion with a further €2.1 billion of unused credit facilities. So overall, we have started the new year with a solid and derisked balance sheet, which leaves us well positioned for 2021 and beyond.  Let's look now at our major recent project wins. In Americas, the Turner & Flatiron-led joint venture secured a USD 2.3 billion project to build a new terminal at San Diego Airport. And Flatiron won a water infrastructure project in California, worth USD 123 million at the end of January as well as several projects used in the progressive contracting method, which is similar to the low-risk alliance style model we see in Australia.  In Europe, HOCHTIEF has been awarded a number of significant new contracts in recent weeks, such as the €580 million joint venture for the Altona Tunnel in Hamburg. And CIMIC has secured a number of credit wins, including the €1.5 billion 10-year rail operation and maintenance contract in New South Wales, which was announced last week.  Order book. The group's order book has remained robust, ending the period at €46 billion. This figure is adjusted for the partial divestment of Thiess and thus includes 50% of the work in hand of the contract mining business. Adjusting for FX, our order backlog is stable year-on-year and also during the last quarter.  And it is worth highlighting the geographic diversification we have with Americas now accounting for half of our order book; Asia Pac, another 40% or so; and Europe almost 10%. Importantly, you can see a positive trend in new orders, which increased during the first 3 quarters of the year and held up well in Q4. For the whole 2020, we generated new orders equivalent to 94% of the work done during the year despite COVID.  And looking forward, our local teams have identified a project in the pipeline worth over €570 billion of relevant projects coming to our markets in North America, Asia Pac and Europe for 2021 and beyond, supported by €180 billion in PPP projects and the numerous government stimulus packages, which have been announced.  Now a look at our divisions, Americas. Americas division, which deliver a really outstanding performance in 2020. Sales were solid at €14.7 billion versus €15.3 billion in 2019. That's just 2% lower in local currency terms, notwithstanding the impact of COVID-19.  Operational PBT advanced by 5% year-on-year to €337 million, with a robust margin of 2.3% compared with 2.1% in '19. Operational net profit rose 11% to €244 million. Profits and margins increased at both Turner and Flatiron. Americas also continues to deliver strong cash generation.  During 2020, the division achieved a high level of net cash from operating activities of €673 million pre factoring, almost in line with previous year's record level and despite the impact of the pandemic. The divisional net cash position at the end of December 2020 stood at €1.4 billion up €93 million year-on-year in local currency terms.  The order situation at Americas remained robust, with an order backlog ending the 2020 at €22.6 billion, an increase of 5% year-on-year in U.S. dollar terms. And new orders of €15.4 billion during 2020 were equivalent to 1.1x that were done during the year.  Looking forward, we anticipate a solid 2021 performance at Americas. The volume of work associated with data centers continues expanding and we have seen increased investment in the health care and pharma sectors. Turner has a strong position as the #1 health care construction provider in the U.S.  And also in airports, large industry clients continue to invest, supported by increasing public funding and driven by the need to modernize and improve airports which are nearing the end of their service life. Furthermore, the increased opportunities for negotiated contract in the civils market supported by the U.S. government is spending and stimulus measures in Flatiron is very well positioned to continue growing in a lower risk market. And then because of that, we expect operational PBT in the Americas business for 2021 of €320 million to €350 million.  Let's move to Asia Pacific division and CIMIC results were published last week. And adjusting for the impact of the gain on the sale of 50% of Thiess as well as the one-offs related to Gorgon and other items. CIMIC reported underlying revenue of AUD 12.6 billion compared to AUD 14.7 billion in the prior year, with the impact of COVID, leading to a slowdown in revenues across activities and a temporary delay in new work. Underlying PBT was AUD 838 million, and the associated PBT margin remained robust at 6.6%, and an underlying impact of just over AUD 600 million.  CIMIC completed the sale of 50% of its contract mining business, Thiess, at the end of 2020. The capital gains generated of the transaction offset the impact of the resolution of the Gorgon Jetty rehabilitation and other one-off expenses. The divestment generated net cash proceeds of AUD 2.1 billion, which more than offset the AUD 1.4 billion of cash outflows associated with BICC.  In relation to this, I would highlight the announcement early this week that CIMIC has signed a share purchase agreement for the sale of its 45% stake in BICC, subject to customary closing conditions, which is the final step of the decision last year to exit the Middle East and involves no additional financial exposure. BICC will be consolidated as a discontinued operation and as an asset held for sale in our 2020 annual accounts.  Re-factoring operating cash flow reached a total of AUD 579 million, and cash flows were affected by COVID due to reductions in revenue, the lower volume of work and increased project costs impacting net working capital. Furthermore, the expansion of Leighton Asia's tendering license in Hong Kong, which has now been restored and the completion of some existing projects in Leighton Asia contributed to an operating cash flow deterioration of approx AUD 400 million year-on-year. The company maintains a disciplined focus on net capital expenditure with AUD 549 million invested during 2020, approx AUD 200 million lower year-on-year.  CIMIC finished the year with a net cash position of AUD 190 million. The rating agency for this confirmed a stronger rating in January 2021. The work in hand of AUD 30.1 billion, adjusted for the sale of 50% of Thiess compares with AUD 32.6 billion a year ago and is equivalent to about 2 years' worth of revenue. Over AUD 500 billion of tenders relevant to CIMIC are expected to be bid and/or awarded in 2021 and beyond, including AUD 130 billion of identified PPP opportunities.  In addition, the AUD 281 million of cash returned with shareholders during the year, CIMIC announced the reinstatement of its dividend with a payout of 60% to 65%. CIMIC published NPAT guidance of AUD 400 million to AUD 430 million for 2021, which equates to an 8% to 16% year-on-year increase when compared with a pro forma 2020 NPAT adjusted for the 50% in sale.  Europe. HOCHTIEF Europe achieved a solid performance in 2020. Sales were 3% higher compared with 2019 at €1.27 billion, reflecting a disciplined bidding approach and notwithstanding the impact of COVID-19. Operational net profit of €56 million increased year-on-year when adjusted for the impact of FX movements, with solid performances from construction and PPPs. HOCHTIEF Europe generated a strong net cash from operating activities of €121 million in 2020, up €79 million year-on-year. At the end of December 2020, the division's balance sheet showed a strong net cash position of €544 million, a €33 million increase.  New orders remain at a firm level, with €2.0 billion of work secured during the last 12 months, equivalent to 1.3x work done. The divisional order backlog ended 2020 at €4.3 billion, representing visibility of over 2.5 years. For 2021, we expect operational PBT for €40 million to €60 million.  On the next slide, we summarize the performance of Abertis. Abertis traffic development in the 2020 saw a strong decline in March after extensive lockdown measures were enforced by governments in key markets due to COVID. Since end of April, traffic trends have shown improvements, but with variations driven by the timing of regional mobility restrictions.  Overall, average daily traffic show a decrease of 21%. Revenues of over €4 billion were 18% lower year-on-year on a comparable basis. Lower traffic volume resulted in a 2020 EBITDA of €2.63 billion, a 23% reduction on a comparable basis.  Our net profit pre-PPA was €365 million. The net profit contribution to HOCHTIEF from the 20% Abertis stake in 2020 amounted to minus €17 million compared with plus €122 million in '19 year-on-year valuation of €139 million. Abertis has distributed €875 million dividend to its shareholders in 2020, with HOCHTIEF receiving a total of €173 million. The Abertis Board has proposed a dividend of €600 million per annum for 2021 and 2022.  Abertis' strategic plan remains focused on investments in new assets in order to perpetuate the duration of cash flows and to diversify the portfolio geographically. In June 2020, and together with GIC, the acquisition of brownfield toll road company, Red de Carreteras de Occidente was closed. RCO is one of the largest transport operators in Mexico. And Abertis invested €1.5 billion equity for its 53% stake.  Subsequently in November, Abertis partnered with Manulife Investment Management, acquired the Elizabeth River Crossings concession, ERC, in the U.S. for €1 billion equity, in which our toll road company will have a 55% holding. This concession, which is operating tunnels in the area of Norfork, Virginia is a 58-year concession with 50 years remaining. And looking forward, we expect our Abertis' stable return to making a positive net profit contribution in 2021.  So let's conclude. HOCHTIEF management continues to actively assess its capital allocation options, of which shareholder remuneration remains a key ingredient. Management will propose a dividend for 2020 of €3.93 per share or about €278 million in absolute terms. This represents an unchanged payout ratio of 65%. And it will bring the total dividend distributed by HOCHTIEF to its shareholders since 2012 to almost €1.9 billion.  Additionally, over this period, the group has returned about €800 million via HOCHTIEF share buybacks, including €168 million in 2020. This will give a total shareholder remuneration since 2012 of €2.7 billion, equivalent to around €38 per share. And following our €104 million, 2020 investment and CIMIC's own share buyback, we now hold 78.6% in our Australian company.  Our guidance for 2021 is for an operational net profit of between €410 million and €460 million. This represents an increase of 11% to 25% year-on-year compared with €368 million of 2020 adjusted for the divestments of 50% of Thiess.  Looking forward, the pipeline of projects, opportunities identified by our teams, as I said, in our 4 developed markets stands at €570 billion at a broadly similar level to last year.  Then, thank you very much, everyone, for listening. And now I welcome your questions.
Operator: [Operator Instructions]. Our first question today comes from Victor Acitores of Societe Generale.
Victor Acitores: I have two questions, if I may related with the U.S. business unit. What's the -- the first one would be the outlook for that business. This year, the trend has been very robust. And what is the outlook going forward? This is the first one.  And the second, regarding the U.S. is that you are running it still with plenty of cash in the activity. Is there a way, I mean you can transfer this cash to the holding activity? So there is a money in order to reduce that, okay? These are the two questions.
Michael Pinkney: Victor, it's Mike here. Thanks for your question. Yes, look, in general terms, the outlook for Americas is pretty positive. As you saw the guidance there, we have -- is from an operational PBT of between 320 and 350. And talking to our colleagues in Americas as they're seen, as Marcelino was saying, increased investment in data centers in areas such as hospitals, pharmaceutical research. And their impression is that, that could probably offset any potential downturn in other areas of commercial building.  And again, as Marcelino was highlighting, Turner is the #1 builder in the health care sector and has been for several years. And that's allied with also its position as a number one green builder in the U.S. So we think the company's outlook is positive, both in the short and long term.  As we highlighted earlier, the order book is very solid. It was up in U.S. dollar terms, it was up 5%. Year-on-year, the sales were roughly stable. And in general, the construction management model that is used by Turner is a very good and effective business model.  And the other question was regarding dividends and cash in the Americas division. So I mean, every year, the Americas pays a dividend to HOCHTIEF AG, and that's an ongoing process, which continues. And there is -- yes, we're always looking at opportunities to optimize the cash management.
Operator: Our next question comes from Christian Korth of HSBC.
Christian Korth: I have a few questions. The first one is, how would you describe the current state of project awards by the authorities in the different markets? I mean if I look at the performance, or let's say, the order awards over the different regions in the last quarters, it seems that the performance was very different. I just wanted to hear your view how you see the situation today? And then how far are the authorities up to their normal working habits.  The second question deals with the CapEx requirements. How should we think about the CapEx in the future after the Thiess transaction?  And then I have two questions on Abertis, please. The first one is, my understanding, by the time of the acquisition of Abertis, was that the plan was to invest more in greenfield PPPs, also to benefit from the experience in construction and previous PPPs that HOCHTIEF and ACS has. But so far, I'm not aware of any project wins by Abertis in this field. So is this correct? And if it is, why is that?  The last question on this is, why Abertis instead invested in existing infrastructure, which I understand has a different value creation and possibly also lower value creation compared to greenfield projects?
Marcelino Fernández: Okay. Thank you, Christian. Regarding your first question, the different approach to -- in the markets regarding the current situation, it's clear that the approach for the different authorities or clients in the different markets is different. It's different, and you can see that the pandemic evolution also is different. Everybody was too very fast, let's say, continue investing. There were a lot of investment plans, all these kind of stimulus packages in all the countries that we are working. There are a lot of, let's say, a lot of envy of having these projects starting. But in regard of the potential constraints, what I would say is that initially, all the things regarding projects are not suffering very, very much problems because these activities consider very essential in all these markets. It's affecting very much. The economy is affecting very much. The employment and because of that, what we are seeing is that the clients are cooperating as much as possible in order, let's say, to speed up all these processes, ongoing processes and projects.  And maybe regarding CapEx requirements, you can give.
Michael Pinkney: Yes. Christian, it's Mike here. Yes, you were asking about the CapEx level after the partial divestment of Thiess. I mean CIMIC, it's said, CIMIC itself indicated that of the €580 million gross CapEx that they had in 2020, Thiess accounted for about €450 million. So pay more or less, you can work out that the ongoing HOCHTIEF CapEx level would be less than half the previous level as a consequence of that divestment.
Marcelino Fernández: The question about Abertis, Abertis strategy, greenfield, brownfield projects. Well, the real strategy was that we wanted to perpetuate as much as possible in the Abertis life. And this is very important, if you take into account that you need to combine the existing life of the projects with the future life. And in greenfield brownfield projects, it is clear that, in any case, the companies in this regard, and the partners, it doesn't matter if Atlanta or ACS or HOCHTIEF, we are helping very much in all the processes in order let's say to approach Abertis to new markets. You have two clear examples this year. I know that the two of them are brownfield. But the reality is that Abertis was helped by the shareholders significantly because of the experience in the markets and the knowledge of the clients. And because of that, I think that this cooperation is being very positive, and it is helping Abertis to replace projects that are going to end.  On the other hand, it's true that the value creation that can come from greenfield projects could be higher. But also it's true that the maturity for helping the company, let's say, to continue delivering profit is longer. And in any case, it's nothing that we are renouncing, but it's also depending on the market opportunities. But the cooperation is open and the relationship with the team, the technical teams, is very good. And then it's being showed in the press that I told you.
Operator: The next question today comes from Luis Prieto of Kepler.
Luis Prieto: If you hear me, I had a couple of questions very quickly. The first one is, I know your business model, in particularly in the U.S., is well protected against cost inflation and this sort of pressure. But I would like to know if you could highlight any point of theoretical weakness in an environment of increasing inflation in any of your contracting businesses worldwide. Again, my assumption is that you're well protected, but I would like to know if there's anything I'm missing.  The second question and coming back to the PPP question, you've highlighted once again in your presentation that you see a huge PPP opportunity worldwide. You're talking about €180 billion. Should we expect HOCHTIEF to speed up the investment in the context of the main shareholders' commitment to infrastructure investment after they complete the proposed industrial services disposal? Is this infrastructure, increased infrastructure commitment, something that we could understand sort of cascade wide affecting ACS, HOCHTIEF and CIMIC?
Marcelino Fernández: The risks regarding potential cost increasing or inflation cost in the different markets, we realize that usually, the way that we do all the different index are included in our calculation. And meaning that we are not really having any risk on that regard. Everything has been included or you have a formula that is really contemplating, if something is happening in the market, that you can get it back.  Currently, what is a little bit -- for instance, if you look at the Americas market, is around, the costs are going a little bit down. And in fact, we are protected for that. We don't see that any risk on having extra cost or inflation in our cost because of the current situation of the market. The other way around. We believe that we are in a good position.  And there is a second, say point, which is that because of the previous years and because of the previous spends in the previous years, what I think that right now is that the market is not under the stress. And then I say that the bids are not so aggressive that they were years ago. No. This is one more protection that you don't need, let's say, to be aggressive in bidding. And then we follow this kind of derisking approach in bidding, which is very important to us. And it's really given to us very good results.  Regarding PPP's strategy. Yes, you know that what we have in our group of companies, you have the buying company, ACS, that there is a PPP company, which is Iridium, that is a very, very successful company in PPPs for many years. We have also at HOCHTIEF, our PPP company, being also very successful. And then we have also in Australia, a PPP company, particularly for partnerships, also very successful in that market.  In theory, what we are doing is just trying, let's say to get some advantage of the opportunities in the different markets, applying the companies that they are working selectively in that market. For instance, this €180 billion projects that we're expecting coming from PPPs, more or less 45% of them are coming in Australia, 25% in U.S.A., 20% in Canada and 10% in Europe. And then when we say Europe, we include the overall Europe. What we are not doing is just say, competing amongst ourselves. Then what we are selectively focusing in what we have in our main markets. And because of that, I believe that we are very successful.  Then this is one of the things that you can see in the overall strategy. And then the companies will apply the resources depending on what is the market intention. If you look at Europe, then 180 million PPPs, meaning that there is 18 -- €180 billion, €18 billion in Europe, and then especially for Europe in different countries. And obviously, HOCHTIEF is mainly focused in the countries that we are working in an actual way.  And you know that in Europe, we are formally speaking in Germany and Northern Europe countries, let's say, U.K. Austria, Poland, Czech Republic and all these countries. If you are very selective, you realize that we will continue, let's say, focus in this market regarding HOCHTIEF. And this is the main idea.
Luis Prieto: So Marcelino, from what you're saying, we should not expect that European level an increase versus your previous level of activity in the PPP sector, maybe in CIMIC, but not in comp?
Marcelino Fernández: The price that we have identified and we will likely say to follow, then is more or less this idea.
Operator: Our next question comes from Marcin Wojtal of Bank of America.
Marcin Wojtal: The first one is on your balance sheet. So you have a net cash position of €600 million. Is that a good proxy for your, let's say, reinvestment firepower? Or would you be prepared to go into a net debt position, if you were to see attractive opportunities, including PPP?  And then my second question is on the shareholder remuneration. Do you have the intention to continue with share buybacks at the HOCHTIEF level in 2021? And also, do you have the intention to increase your stake in CIMIC? And maybe you could offer at least some high-level thoughts on the use of share buybacks within your capital allocation strategy.
Marcelino Fernández: Sorry. Thank you, Martin. Yes, we have a net cash position in our balance sheet around €600 million. Obviously, we are always -- when we're looking at capital allocation, one of the ways that we allocate capital is through our PPPs. But as you can realize in my previous answer, obviously, we can continue living with this, and we are not going to put at any moment a risk, our position in our net cash position. Obviously, €600 million, even if you are very, very successful and not easy, let's say, to invest in PPPs. And because of that, don't be worried about it because our cash position will be totally safe and we will take part on all these PPP processes.  As a part of this capital allocation in the previous year, you remember that we're always just looking at how could we do or take advantage of the market opportunities. And one of the market opportunities that we always consider was exactly, how can we look at the best opportunities. Sometimes, we consider that the share price of the company was very attractive. And then because of that, we made some share buybacks. And this is like a general view. We are not really focused on -- currently of doing that. We'll see if the capital allocation, we'll see how the cash flow of the company continues going on. We'll see how the markets evolve, and we'll see what is more convenient.  But in principle, we don't have, in advance, any plan, let's say, to continue looking at the buybacks as a target themselves. This is something that we'll analyze carefully, but is not currently a target like we were listening Luis, and this is our own way to do it. No, no. We will continue looking at how can we improve this return to our shareholders. And obviously, capital allocation is one of the things that is more necessary. But not necessarily throughout the way that we've done several years ago, when we consider that the opportunities in the market at that point were less or more attractive.
Operator: The next question today comes from Rushil Paiva of Stifel, Europe.
Rushil Paiva: Just a couple of questions from my end, if I may. Just to follow-up, firstly, on the new order intake. So I understand that you mentioned that clients are trying hard to bring new projects to market. So I just want to get your take on whether you think the new projects will start to come to market in the first half of the year? Or do you think it will be it's more of a second half story? Given the sharp declines we've seen in new orders in 2020, do you anticipate any increased competition for tenders this year? And whether or not do you think they will have an impact on the margins you can generate from these projects?  My second question also just relates to costs. And more specifically, from the one-off costs that we saw CIMIC incur relating to COVID 19. I was wondering if you could tell us what the impact of COVID-19 is currently on your business? And whether or not you anticipate HOCHTIEF and its subsidiaries to have to conduct similar negotiations at the end of the year to recoup potential cost blowouts relating to COVID-19 and its impact?  And then finally, please correct me if I'm wrong with one last question. But it appears that corporate costs within your operating profit before tax rose quite substantially this year. Firstly, is that correct? And if so, could you just explain why there was a rise in those costs?
Marcelino Fernández: Okay. Thank you, Rushil. So the first, you know that usually, the markets are always aiming, say, to beat the prices as soon as possible because it's interesting -- interesting for them to say, to do this and to try, let's say, to have infrastructure and to have all the necessary things as soon as possible. They are aiming -- aiming to do this as fast as possible. It's clear that we don't know what is going to be the rhythm. We don't know if the pace of the price coming in is going to be higher in the first 6 months or in the first -- on the second half of the year.  But through the year, the important thing is continuity. And what is important also is like the amount of new projects coming to the market is going to be very important, meaning that competition is not going to be necessarily aggressive. There will be food in the market, food in the market for everybody. And because of that, I don't think that the competition -- I don't see that the new situation will give us an increase in any cost because of higher competition.  The impact of the COVID in our business -- look, in my speech, I was explaining that we have €139 million coming from traffic. And then traffic is really affecting very much to Abertis. €139 million, meaning that was 21% less traffic compared to the previous year, was a very important figure. And obviously, this is the main affection that we have.  If you want to evaluate, it's very difficult to evaluate, you know that construction in the countries that we are operating is seen as essential activity. And then you have, in theory, all the advantages. Obviously, there are some disadvantages because of the disruptions that the COVID restrictions have given to the different countries. But the real impact is depending on the places and geographies.  For instance, if you look at Australia last year, the impact was very important in Australia. But the Australia economy and the stellar way of understanding things is a little bit different that, if you go to different countries in which we are working. If you compare this with, I don't know, Germany, Spain, U.S., Canada, that is not entirely comparable. It is not entirely comparable. In fact, you can see this when you compare also how the countries are facing the COVID issues in the different countries. If you look at Australia, it is doing totally in a different way. And obviously, it's affecting activities in a different way. In Germany, it is affecting in a different way because here in Germany, we have a different approach.  But all in all, apart from this direct impact coming from this traffic -- low in this 21% damage suffered by Abertis, I don't know if we can say that the impact can be more or less in line with what we can see in our operations. When you see the variation, and we are talking about, I don't know, 3%, 4%, 5%, 6% depending on the places. And in other countries, maybe the impact is a little bit higher like we saw in Australia and what percentage in Australia a week ago.
Michael Pinkney: And Rushil, it's Mike here. Just to follow-up a little bit on your operating -- the corporate headquarter costs at the PBT level that you mentioned. I mean basically, the swing from '19 to '20 is about €140 million, and that's basically driven by the Abertis swing, that went from a profit contribution of €122 million to a minus €17 million contribution. So that's basically the main driver. The underlying costs at headquarter level were stable. In fact, I think, at the operational level, slightly lower.
Rushil Paiva: Great. Just -- sorry, if you don't mind, I'll ask one more follow-up question. Within your guidance for 2021, the operational net profit of €410 million to €460 million. Could I ask what you currently anticipate in order -- in regards to new orders? Do you anticipate an immediate pickup in the first quarter for it to follow-on for the year thereafter? Or do you anticipate a slower pickup in new orders in that respect within your guidance?
Marcelino Fernández: So what we are looking at the new orders, we don't look at new orders quarter-by-quarter. We are looking at new orders in a 12 months period, because it's very difficult. Many times, for instance, imagine, there are a lot of bids ongoing, and they can be secured in the next 2 months or not. Someone postponed because there are changes in the authorities and then they are postponing this. That's why it's very difficult, and we are not following quarter-by-quarter. We are following in a 12 months basis. And this is exactly the key parameter that we are using for following order book and new orders.  And this is compensated because when we look at, for instance, other things, cash, yes, there is a kind of seasonality. In new orders, it's impossible to predict this seasonality, depending on the countries, depending on the moment, depending on the local budgets. That's why -- it's not that I don't want to answer. The answer I've given to you is like, we are not really worried if, in the first quarter, we reached more or less. It's a good news because it's given to -- yes, its helping you in a 12-month basis. But the order book and the new orders, et cetera, we are analyzing them in a 12 months basis, not in a quarterly basis.
Operator: The next question today comes from Nicolas Mora of Morgan Stanley.
Nicolas Mora: Just a few follow-ups on what's been asked already. First one on -- just on competition in the U.S., your view that there would be -- footfall is not shared by all participants. I think one of your key competitors, Skanska, had a slight different view. Just want to know if your comments really applies to non-res and Turner, more than non-infra, where there seems to be a bit of a scarcity of work out there at the moment, waiting for stimulus to come through? That's the first one.  Second one, on -- can you tell us anything new or update us on what's happening with the AP-7 composition at Abertis? That's a big part of your -- the value of your Abertis stake. Just wondering, this is still on the agenda in terms of solving the judicial battle by the end of the year, '21.  And last point, on CIMIC, can you give us a little bit of color as to how much more efforts, time, cost you think -- your Australian business in construction will need in order to restructure and deliver better margins and better cash flow? Or is it a 12, 18-month kind of battle, or is this going to take even longer?  And then very last one, on CIMIC again. The business thrives on large orders. What's your feel in terms of potential orders, large-scale orders for CIMIC in '21, considering that 2020 was clearly a year to forget for that one?
Marcelino Fernández: Thank you, Nicolas. Then when I'm telling our view about that the competition is not really damaging cost, et cetera, in the U.S. market. So, well, our company, for instance, we were talking about, for instance, Turner. Turner has clients that many, many times, what is happening to us, to Turner is that the clients are asking us to take part of the different bids. In this regard, we are asked to do this. They say, we are not just going to a free open market. It's a market that is very selective. Most of the clients have worked with us for several years. There is a kind of internal knowledge. This is very, very much important is what is giving to us, this kind of a solid performance in the market.  And because of that, we don't see -- we don't see -- we don't foresee because there's a lot of work coming. We don't foresee that, especially we are going to say, to have any issues in competing with other companies and affecting us for tightening the margins in this regard.  Your second question is about the AP-7 concession. The AP-7 concession is going to end this August, by the end of August. And then obviously, after that, what we have to do is, just to present what are the real numbers, because one of the things that happened on the AP-7 was exactly this, that we were advised to do this. Once you have the real numbers, then you present the real numbers to us. And then later on, we will judge if we consider that this is appropriate. Then this is the process. We will follow the process. And what I have to tell you is that in August, we will finish our concession time, and then we will present accordingly the final numbers to the administration.  Then your questions about CIMIC efforts. Obviously, you're right that 2020 has been a very demanding year for CIMIC in many aspects. It's true that the market was not very, very large in bidding. And then it looks like this year, the market is going to be more open on that. And then there will be a lot of opportunities, and they will have, and we are aiming to have. And then if you look at the CIMIC presentation last week, they are really very positive on that. And they believe that it is -- 2021 is a great opportunity to improve in getting new orders because there will be larger market for that.  Regarding extraordinary effort, you know that the company is -- one thing is like to have a one-off moment that was what happened in 2020 to us. Another thing is like you need to continue -- in a company, you need to continue, let's say, trying, let's say to improve. To improve your structures, to improve what you have to do, to adapt yourself to the market, to adapt yourself to the needs. And then obviously, this is not only CIMIC. This is HOCHTIEF and this is ACS and all the companies. This is what we can say the standard part.  And the different question is a one-off problem. And then if you look back to the CIMIC presentation, they are not really foreseeing special things for this year. And I think that they are very positive but realistic. If you look at the presentation, I think that they said that they consider that the guidance were really, really positive. And then in a way that they said that even a little bit conservative.
Michael Pinkney: And Nicolas, it's Mike. Just to follow-up and underline, obviously, in our Americas business, 90% -- over 90% of revenues in 2020 were generated by Turner. So that that's the key driver there.
Nicolas Mora: That's why in competition, I was a lot less worried on Turner, a little bit more, let's say, or maybe on the infra side. First of all, on fees cost contracts, but also on the tendering. That's why it was maybe more question for -- on the Flatiron side of the store -- of the business. Smaller in revenues, maybe a bit larger in terms of profits, but I get your point.
Operator: The next question today comes from Beltran Palazuelo of SANTALUCÍA Asset Management.
Beltran Palazuelo: Congratulations for the results. Regarding the guidance you gave for this year, 2021 and the, let's say, the three areas, Americas, CIMIC and Europe were -- let's say, you gave perfect guidance. But the only, let's say, parts you did not give too much information was for Abertis, exactly for the guidance to be made exactly more or less what do you expect from Abertis? And then regarding Abertis, if you could give us a little landscape or what should we expect from 2021 from investment opportunities?
Michael Pinkney: Yes. I mean Look, the indication that we've given is that we expect our Abertis investment to return to profitability. But obviously, everything is going to depend on the COVID, how COVID develops and evolves over the year and the timing of eventual restriction easing et cetera. That's what we can give you, I think, at this stage of the year.
Beltran Palazuelo: Okay. And regarding opportunities. Investment opportunities for Abertis?
Michael Pinkney: Yes. I mean look they announced these two very significant investments in 2020. So there was €1.5 billion investment by -- in equity by Abertis in Red de Carreteras de Occidente, RCO. And that was for its 53% stake. Then right at the end of the year, November, that was the announcement of the acquisition along with Manulife of the Elizabeth River Crossings concession. And that's one in which Abertis will have a 55% investments. So 100% equity with €1 billion there, and Abertis will have 55%. And that's another major investment, and it's 58-year concession and only 8 years so far gone in that concession. So there's another 50 years to go. And so we're constantly screening the market for opportunities as they arise, and that process will continue, no doubt.
Operator: As there are no further questions at this time, I would like to turn the call back for any additional or closing remarks.
Michael Pinkney: Okay. Operator. Thank you. Thank you very much. If there are no more questions. I think we'll leave it there. And I'll pass you back to Marcelino, just for farewell. Thank you. Thank you very much, everyone.
Marcelino Fernández: Okay. Thank you very much, all of you for attending this conference call. And then good luck and take care under the current situation. And I will see you in the next presentation, our next quarterly presentation. Thank you very much, and bye-bye.
Operator: Ladies and gentlemen, that concludes today's conference call. We thank you for your participation. You may now disconnect.